Operator: [Foreign Language] [Interpreted] Good morning and good evening. First of all, thank you all for joining this conference call and now we will begin the conference of the Fiscal Year 2014 Third Quarter Earnings Results by KEPCO. This conference will start with a presentation followed by a divisional Q&A session. (Operator Instructions) Now we shall commence the presentation on the fiscal year 2014 third quarter earnings results by KEPCO.
Bon-Woo Koo: [Foreign Language] [Interpreted] Good afternoon. This is Bon-Woo Koo, Vice President and Treasurer of KEPCO. On behalf of KEPCO, I would like to thank you all for participating in today’s conference call to announce earnings results for the third quarter of 2014. [Foreign Language] [Interpreted] We will begin with a brief presentation on the earnings results, which will be followed by a Q&A session. Today’s call will be presented in both Korean and English. [Foreign Language] [Interpreted] Please note that the financial information to be disclosed today is on a preliminary, unaudited, and non-consolidated basis in accordance with KIFRS. Any comparison will be on a year-on-year basis between 2013 and 2014. Business, strategies, plans, financial estimates, and other forward-looking statements included in today’s call will be made based on our current expectations and plans. Please be noted that such statements may involve certain risks and uncertainties. [Foreign Language] [Interpreted] Now Senior IR Manager, Mr. Changyoung Ji will begin with an overview of earnings results of the third quarter of 2014, first in Korean and repeated in English. [Foreign Language] [Interpreted] Now we will provide the overview in English, starting with operating income. In the third quarter of 2014, KEPCO reported a net operating income of KRW4.92 trillion. Taking a closer look, operating revenues increased 7.1% to KRW42.53 trillion. This was attributable mainly to 6.7% increase in power sales revenue, totaling in KRW39.17 trillion and 27% increase in revenue from the overseas business amounting to KRW2.31 trillion. Moving on to main operating costs, cost of goods sold, SG&A expenses decreased 2.2% to KRW37.65 trillion. Fuel cost decreased 14.3% to KRW15.52 trillion. Power generation affected by the low power demand decreased 1.2% and unit cost of fuel declined by 13.3%. Meanwhile, purchased power cost increased 8.9% to KRW8.89 trillion. Unit cost of purchase decreased 5.7% because of the decrease of unit cost of oil and purchase volume increased 12.1%. Depreciation cost rose 4.1% to KRW5.06 trillion, mainly due to the newly constructed substations and new facility additions by power plants. Now let me explain KEPCO’s non-operating statements. Net financial loss was KRW1.72 trillion in the third quarter of 2014, which was increased by KRW22 billion. As a result of the foregoing, we recorded a consolidated net income of KRW2.32 trillion in the third quarter of 2014. This concludes the overview of KEPCO earnings results for the third quarter of 2014. [Foreign Language] [Interpreted] Now let me move on to the Q&A session. Q&A session will be hosted by Mr. Bon-Woo Koo.
Bon-Woo Koo: [Foreign Language] [Interpreted] This is Bon-Woo Koo, I’m joined with our IR committee members in charge of major business areas at KEPCO. We are prepared to take any questions. [Foreign Language] [Interpreted] Since we will proceed in both Korean and English all Q&As will be interpreted. Please make sure your questions and answers are brief and clear. [Foreign Language] [Interpreted] Please begin.
Operator: [Foreign Language] [Interpreted] (Operator Instructions) [Foreign Language] [Interpreted] Currently, five participants are waiting with their questions. The first question will be given by Mr. Pierre Lau from Citigroup.
Pierre Lau – Citigroup: Hi, hello. Good afternoon, KEPCO management. Congratulations to your good third quarter results. I have three questions. The first question is, why is your tax rate for your third quarter was so high and the second question is, what is the schedule for the commissioning of your three nuclear power units in 2014 and 2015? And also, how many of your nuclear units are under suspension and when it would resume operations? And the last question is, you have increased the generation next from nuclear and coal in the third quarter, so what would be your guidance regarding the 2014 generation next in particular from nuclear power and also that for 2015? Thank you.
Bon-Woo Koo: [Foreign Language] [Interpreted] So maybe I could answer your question about the tax rate, if you look at the tax rate for the third quarter on our consolidated financial statement, this includes the tax rate not only at the KEPCO level but also for the GENCO. And in addition to that, it also includes a deferred corporate income tax. So that is why the tax rate in itself is effected at a higher level. [Foreign Language] [Interpreted] So maybe to go on with regards to the operations of our nuclear power plant, first to talk about Shin Wolsong number 2, this is expected to start operations or be commissioned in July of 2015. If we go on to number 3 for Shin Kori that would be in June of 2015 and then in the case of Shin Wolsong number 3 that would be June of 2016. Shin Kori number 4 excuse me. [Foreign Language] [Interpreted] In terms of the maintenance efforts that we have for the interim maintenance, there are three nuclear power plants right now that are under maintenance. For the Hanbit number 3, we do expect this to rebuild operations in January 20th of next year and in the case of Hanul number 1 – number 2 excuse me, we expect it to actually take place on November 29 of this year and then in case of Shin Kori number 1, this is facing some issues with regards to the switch controls and therefore, right now, we are in the detail investigation phase. So as of now, we don’t have a timeline on which it will start – restart operations. [Foreign Language] [Interpreted] So, to give you the fuel generation mix that we would have across the board for 2014, first of all, for coal-fired, it would be 46%. In terms of our nuclear power plant, 35% and then for LNG 16%.
Bon-Woo Koo: Does that answer your question?
Pierre Lau – Citigroup: Yes, but one follow-up question is that, should we expect the tax rate in fourth quarter this year to be impact with the normal level 25%?
Bon-Woo Koo: [Foreign Language] [Interpreted] So to answer your question, for the fourth quarter, with regards to the tax rate on a consolidated basis, it would be difficult to give you a percentage as of that time. It would depend upon the net asset value increase effect if any. That would reflect at our consolidated subsidiary level.
Pierre Lau – Citigroup: Okay, thank you very much.
Operator: [Foreign Language] [Interpreted] The following question is by Mr. Yun Hee-do from Korea Investment and Securities.
Yun Hee-do– Korea Investment Securities: [Foreign Language] [Interpreted] So there are two – three questions that I would like to ask you. The first question is, with regards to the fuel cost that you have. If you look at the line items there, and others right now in terms of that amount and if you look at the third quarter, it’s around 23.4. If you look at it on a cumulative basis, it’s KRW 110.0 billion and therefore in terms of the year-to-date numbers also it seems to have increased significantly versus on a year-on-year basis. So could you explain what this others is representing? That’s the first question that I would like to ask you. And the second question is a bit more complicated, but if you look at your third quarter numbers year-to-date, in terms of the consolidated numbers and then the non-consolidated numbers, the net income line, the consolidated versus non-consolidated numbers seems to show a difference of around KRW 1.6 trillion. In the past year, there was actually not a big difference between these two numbers. But it seems that this year there is a significant difference and therefore from an investors point of view it is very difficult for us to estimate what the amount of dividends would be in terms of your spend. So what is actually behind the difference in these two numbers? For example, would it be that in the case of KHNP and operations? I understand that this year they have seen a significant improvement in their earnings going from the year 2013 versus 2014. So, it is – so this is a factor of that on the GENCO level as you consolidate this number because on a consolidated number, it is reflected in your net income versus on the non-consolidated side, it’s not reflected. So it’s just the main reason. Could you confirm that? And secondly, with regards to K and P’s earnings in itself, if the improvement in its operation is mainly due to just the fact that for its nuclear power plant reaching back to normal and everything is running as normal? Or is it a factor also including that I understand that due to the scandals that it had last year, with regards to some faulty part, that the total compensation that KEPCO or the damage that you incurred as a result of that was KRW 1.180 billion. So therefore, is it your plan? I have heard someone that in the case of your plan, that it would be a cost that you would reflect into the price that you levy for KHNP in te3rms of the price actually you purchase their electricity. So existing price right now or if it that being implied, then would this be a one-off compensation that could actually be reflected into your financials? Because if they added to, then I do believe that there could be a one-off spend of more than KRW 1 trillion.
Bon-Woo Koo: [Foreign Language] [Interpreted] Maybe to answer your first question about the fuel cost, if you look at others, this is actually the fuel cost related to new types of renewable energy. So for example, it would be the wood pallets and also the solid fuel that is required for that operation. So as our peers has introduced, we have increased our percentage of new renewable energy generation and therefore we have been using more wood pallets and also solid fuels than in the past. So as a result of that, you can see that this line item has been increasing. [Foreign Language] [Interpreted] So to answer your question about what are the differences are between the consolidated and the non-consolidated numbers and to explain that difference to you, it is due to better performance at the GENCO levels specifically for KHNP and also for KOSEP. So therefore, for those two GENCOs right now, there have been improvement within their performance. So if you look at K and P, it is a factor that their utilization ratio has been increasing. So if you look at it on a year-on-year basis, there has been an improvement of around 10%. So that has led to better performance there and then at KOSEP, it is that they have a higher percentage of coal-fueled thermal power plants and therefore, as a result of that because the coal cost has been trending down, we do believe that that has resulted in better performance for them. So from this GENCOs on a whole, if you look at the contribution, there has been around KRW 2 trillion or above in terms of the profits generated there. That has had an impact on our consolidated numbers. And then, if we move on to the KHNP issue, in terms of the improvements of their performance, the lion share of that is due to their nuclear power plants being up and running back to normal versus last year. So, it is not that there are any penalties or that the adjusted coefficient has been adjusted. So none of that factor has been reflected in the third quarter. So as mentioned before, it’s mostly because the nuclear power plants are up and running as normal.
Yun Hee-do– Korea Investment Securities: [Foreign Language] [Interpreted] Then if I could ask you a follow-up, question, I understand that related to the nuclear issue that were – the faulty parts issue that took place last year, that the damage that KEPCO incurred as a result is KRW 1.180 billion. How has that then compensated by breakage and KHNP or how has that cost impact to that entity and what is the progress to-date? [Foreign Language] [Interpreted] So to interpret the answer, in terms of the damage that we incurred related to the faulty parts for the nuclear power plants last year and in terms of the compensation that we will receive from KHNP from that, that is actually something that was finished last year and it was reflected into the coefficient that was used for settlement purposes. So therefore, since that was all done and all reflected in last year and none of that was reflected in this year. The follow-up question to that was that then from K and P’s perspective was that all fully recognized in the fourth quarter, the follow-up answer to that was that, the existing coefficient was actually set in August of last year as a result of that. So, in terms of where it would sit on their financials, it would probably across the third quarter and fourth quarter financials. However it was all done in last year.
Operator: [Foreign Language] [Interpreted] The following question is by Mr. (inaudible)
Unidentified Analyst: [Foreign Language] [Interpreted] So there are four questions that I would like to ask you and one of the questions is related to a question that was asked previously. In terms of your dividend payout, if you look at the company’s past history, it had been based on the non-consolidated performance of the company. However, for this year, as mentioned before, the consolidated numbers and the non-consolidated numbers show a significant difference and different from last year. The non-consolidated number is actually a – is a lower number. So, in terms of our forecasting or estimating the dividend payout for this year, should it be based upon the non-consolidated numbers as the standard used in the past? Or will there be a change in this stand from the company’s perspective. In addition to that, in terms of the trend of there being a gap between the consolidated numbers and the non-consolidated numbers, do you believe that this is a trend that will continue going forward? The second question that would I like to ask you is, with regards to the headquarters and the disposal of that, in terms of the proceeds from that sale, what is the total size and when will that actually come into the company? And in terms of the dividends from the profit, what is the company’s thoughts about that as of this time?
Bon-Woo Koo: [Foreign Language] [Interpreted] To answer the questions, first in terms of the dividend, has been the direct standard up until now, the dividend has been based upon our non-consolidated numbers as you have mentioned, so that has been the general standard that we have used and as you have mentioned, this year, there is a difference between our non-consolidated and consolidated numbers. However, whether this will be a trend going forward? I do believe that in terms of the short-term, if you look at the GENCO’s performance, we do believe that there is a possibility that their performance in the fourth quarter will improve even further, because for example, if you take out the factors that there are some nuclear power plants that have been suspended and in overhaul – overall the environment looks positive towards. So we do believe that there is a possibility that the performance in the fourth quarter could improve. However, if you look at the KEPCO non-consolidated performance, in the third quarter, for electricity, overall sales revenue versus our expectations there was not a significant increase there and in the third quarter versus the fourth quarter, the third quarter usually reflects a higher average sales price and also the seasonal price that is reflected as usually also higher than the fourth quarter. So going into the fourth quarter, we don’t expect there to be any significant specific reasons for there to be an improvement in our performance. So all in all, in terms of the difference between the consolidated numbers and the non-consolidated numbers, as long as our non-consolidated performance does not change significantly in terms of the trend. We do believe that that is a gap that will remain for the short-term. In terms of the sales proceeds from the sale of the headquarters and the dividends related to that, our dividend policy is something that is set by the government and therefore for any extraordinary dividends there has not been a discussion about such situation held separately and there is no discussion that is ongoing with the government right now. However, if you do look at the government’s stands recently, in relation to the normalization of public corporation, and also because the government does need to expand its tax revenue, the government has had a general stance that from the public corporations and government agencies that it is increasing the dividend level. And so as a result of that, as we go into the end of this year and maybe the end of next year also, we do believe that there could be some changes as a result of that difference with regards to the government’s attitude. However, to-date, there has not been any review and any extraordinary dividends related to the sale of the head office. [Foreign Language] [Interpreted] So just to clarify once again, in terms of the dividend payout, if you look at the payout ratio historically, it has been in range of around 25% to 30% of course last year, it was slightly off, but that has been said, for our estimates and purposes, because there is a difference between the consolidated and non-consolidated. For this year, should we use the consolidated financials or it should be non-consolidated. The answer to that is that for dividend plus the standard that we would look at or the financials that we would look at will be our non-consolidated numbers. [Foreign Language] [Interpreted] So could I make one clarification to one of the answers that was given before. In terms of the compensation from KHNP with regards to the forgery of the test results of faulty parts that took place last year in the incident there and in January of this year, for one of the suspended nuclear power plants, actually it went online around 20 days later than we had initially expected. So actually, for that 20 days’ worth of losses that we had incurred as a result of that, that was effected into the settlement or with the coefficient that was used at the end of June. So, therefore, for that 20 days, the amount was actually KRW 100 billion and that was reflected in this year’s financials. So there was a certain portion that was reflected this year. [Foreign Language] [Interpreted] So just to clarify in terms of the dividends and the standard that is used, actually there is no clear set standard on whether it would be on a consolidated basis or on a non-consolidated basis and it is up to the shareholders, the majority shareholders to make that decision. If you look at the past history in terms of the stance of the government, it has been based upon the non-consolidated numbers. However, whether due to the recent changes in the environment, whether there will be a change in the government’s stand that is something which we – it is difficult for us to estimate or talk about as of this time. [Foreign Language]
Operator: [Foreign Language] [Interpreted] The following question is by Ms. Bum Sujin from Samsung Securities
Bum Sujin – Samsung Securities: [Foreign Language] [Interpreted] There are four questions that I would like to ask you. In terms of KEPCO and then on the GENCOs, I believe that one of the reasons why your effective tax rate is higher, because there is double taxation that is taking place, when you do – when you look at the consolidated numbers and also added to that, you also have the deferred income tax liability that you – which is related to the write-off, but, which is just in later on. So though in terms of the effective tax rate, for the quarter, it does come at a higher number, at the end of the day for the actual tax payments that you make, I understand that it’s not as high. So is this actual explanation though great understanding. Could you confirm that? That would be the first question. The second question is that, if you look at the fuel cost and also in terms of the generation based off of that fuel in terms of power generation volume, it looks like if you compare the growth rates in the generation volume growth and also the fuel cost usage growth, there seems to be a mismatch between the two. For example, if you look at coal on a year-on-year basis, there has not been a lot of growth. However, in terms of the usage volume, it has actually decreased around 8%. The same situation also seems to be taking place for LNG. So could you expand what that situation is? And going into the third question, if you look at the fourth quarter, for the unit price for coal and also for LNG what would be your expectations for those two different types of fuel? And added to that for the utilization rate for the coal-fired power plants and also the nuclear power plant, if you have some expectations for that that would be appreciated? And lastly, if you look at the REC for the third quarter, what was that amount? And then for the full year or for the fourth quarter, what is your expectations for REC
Bon-Woo Koo: [Foreign Language] [Interpreted] So in terms of the corporate tax rate, it is the same situation for KEPCO and also all of the GENCOs. And in terms of whether there is a cash outlay related to this – in terms of the tax rate, I do believe that this is the best way to answer the question and that it is. So any taxes that we are levied in terms of the net income from the consolidated subsidiaries that we have, unless there is an actual sales of that subsidiary or a disposal of that subsidiary, actually, there is no actual cash out pay that takes place on the tax expenses for that. So, unless that type of activity is engaged there we do not believe that there will be such a situation at KEPCO or at the GENCO level. [Foreign Language] [Interpreted] So in terms of the second question that was asked, which was that in terms of the growth rate, if you look at the fuel usage volume it is growing at a lower level, then the actual generation off of that fuel type in terms of the generation volume and I asked for a clarification in that purpose. However, the company has said that – the answer to that, that they would follow-up for the answer for that at a latter period. [Foreign Language] [Interpreted] So to talk about the capacity first or the utilization by the different types of fuel for the generation, and our expectations, for the nuclear power, I can say that for the fourth quarter, there is an estimate that we have and that would be 85.3% and therefore for the full year that would take the capacity factor for the full year at 85.4%. However, in the case of our coal-fired power plants and also in terms of our LNG power plants, for example, for coal-fired, we do actually not have separate statistics related to that power plant. But if you look at the five year historic average, it has been around 95%, based on our estimates and for LNG also, there is no separate numbers that could be available for you. [Foreign Language] [Interpreted] And then if we look at the REC purchase cost, from – on a cumulative basis, from January to September, on a consolidated basis, that number will be KRW 348.5 billion. [Foreign Language] [Interpreted] And with regards to the specific amount, that would be allocated to the third quarter. We will follow-up with that number with you later on.
Bum Sujin – Samsung Securities: [Foreign Language] [Interpreted] If I could ask you some follow-up questions, in addition to the utilization, I actually had asked you about the unit price for coal and LNG, could you provide your expectations for the unit price there? And also for the nuclear power plants you said that the capacity factor or the utilization with the 85% on average this year, do you believe that that would be the same level going forward? Do you believe that will be maintained at that level? And for coal you said, you mentioned the historic average. But going forward, do you think that that would be the general level continuously as a trend or do you believe that in terms of the actual direction, it could be higher than that or it could be lower than that?
Bon-Woo Koo: [Foreign Language] [Interpreted] In terms of the fuel cost, maybe we can provide you with our estimates for the full year, In terms of coal, on a per ton basis it would be KRW 94.61. So therefore it would be KRW 94,600 in terms of the cost there and then for LNG per ton, it would be around KRW 1,58,000 per ton. So therefore on a per liter basis, it would be KRW 752.
Bum Sujin – Samsung Securities: [Foreign Language] [Interpreted] In addition, one follow-up question is that, from the dividends that are paid from your subsidiaries to KEPCO, if you look at the past payout ratio, it has been around 70%. So, in terms of this payout ratio, from the subsidiaries to KEPCO, will it continue to be 70% or it’s going to maintain in that stand?
Bon-Woo Koo: [Foreign Language] [Interpreted] So in terms of the 70% dividend payout ratio that you have just mentioned, that was in a very specific condition in which actually we were in the red and for our subsidiaries they were actually in the black. And therefore, because of that specific situation, there was a 70% dividend payout. However, if you look at the more normal levels of dividend payout from our subsidiaries, it has been at the 30% to 50% range because we do want there to be financial balance between our parent companies and also the subsidiaries. So we do believe that that would be the range.
Operator: [Foreign Language] [Interpreted] The following question is by Mr. Geoffrey Boyd from CLSA.
Geoffrey Boyd – CLSA: Hi, thank you very much for your time on this call. Just, I think there was some answers on the last question if I didn’t quite catch-up, but anyway, I just want to focus on the oil price decline in the recent times and what that implies for your LNG cost next year? So, I guess, I mean, the best question and answer I would love to get would just be, if you check the current oil price and the current coal price and the current FX rate, what would be your fuel cost estimates for 2015? That will be the best answer, but if you don’t have that information then maybe you could talk a little bit about the LNG price, like, in my calculations it was $975 US per ton paid in the third quarter, about KRW 1.1 million per ton. But there has been about be a 10% or 15% decline in oil price. Do you expect this to show up in your LNG price by the first quarter of next year and if so, what sort of price can we expect for LNG?
Bon-Woo Koo: [Foreign Language] [Interpreted] So, maybe to discuss the relationship between oil prices and LNG prices. In Korea, as you have mentioned, there is a link between the LNG price and also the oil price range. However, there is a time lag and that time lag is around 53 months. Therefore, as you have just mentioned, in October there was a significant decrease in oil prices and we think that will actually reflect in the prices for LNG in December and during January of next year.
Geoffrey Boyd – CLSA: Anymore details on that like…
Bon-Woo Koo: [Foreign Language] [Interpreted] So, unfortunately, there is no information at hand that can be shared with you, but we will follow-up with that question later on.
Geoffrey Boyd – CLSA: Okay, thanks.
Operator: [Foreign Language] [Interpreted] The following question is by Mr. Shin Ji Yoon from KTB Investment Securities.
Shin Ji Yoon – KTB Investment Securities: [Foreign Language] [Interpreted] So, there are two questions that I would like to ask you. They are specifically related to your other revenue and other operating expenses item. So, if you look at the other revenue in the third quarter, that improved or increased around 15% whereas your other operating expenses there was a decrease of around 7%. So, I believe that this had contributed to your better performance. The first question that I would like to ask you is that, in terms of your other revenue and other operating expenses, what would be the revenue contribution from UAE and the related expenses related to that project? That would be the first question. And the second question is that, I do believe that under the government stance of normalizing the irregularities that exists within society that on your overall labor cost side, from in terms of the salaries, welfare costs, and all of the other related labor cost side, labor costs that there has been some savings in the labor cost. And I understand that this accounts for the labor cost in itself stands for around 30% of your other operating expenses. So, as a result of that, on the company level, there was a performance evaluation and you received a very good marks, so I understand that there is a possibility that some of the cost savings could actually be returned to the employees. Could you follow-up on the specifics related to that?
Bon-Woo Koo: [Foreign Language] [Interpreted] Maybe to answer your first question about the UAE-related revenue and also expenses. For the third quarter, in terms of revenue, there was a recognition of KRW 1.73 trillion and on the expense side it was around KRW 1.6 trillion. [Foreign Language] [Interpreted] And with regards to the second question which was the labor cost issue that we would like to follow-up later after.
Operator: [Foreign Language] [Interpreted] The following question is by (inaudible).
Unidentified Analyst: [Foreign Language] [Interpreted] So there are there questions that I would like to ask you. First, if you look at your purchased power cost there has been an increase there. So in terms of the actual unit price, there was a decrease, but in terms of total purchase volume, there has been an increase. So, if you look at where that actually took place, it seems that the purchase volumes from IPP has increased. And I do believe that there was an increase in the overhaul days from some of the LNG taxes at your GENCO level. And that was the result, as a result of that, you had purchased more from the IPP. So, I would like to ask you, is this a trend that you see continuing going forward? And do you believe that that will be the situation? That’s the first question. The second question is that, for your coal-fired power plants in terms of the utilization, it seems that that has been decreasing as the number of overhaul days has been increasing. So, do you believe that this will be a situation that will go back to normal? Or do we believe that the increased number of overhaul days would be the new norm going forward? And lastly, if you would look at your equity method valuation gains, it seems that this area has been very strong. Is it because your overseas subsidiaries have been showing stronger performance or is it that coal gas has stronger performance? Or is it because you have some disposal gains on some of the shares that you sold in your subsidiaries?
Bon-Woo Koo: [Foreign Language] [Interpreted] So maybe to first talk about the power purchase cost. On the LNG power plant side rate now, from the IPP that you have, there has been new capacity that has built out and higher efficiency of power plant. So as a result of that, on the IPP side, you can see an increase of around 18%. From the PPAs, actually, this is the lower efficient power plants that we have and therefore there are plans to scrap for example KESCO complex-1. However, as a result of that, on the PPA side, you can see that there is a decrease of around 26% that has been reflected as there are higher efficient new capacity LNG power plants on the IPP side. [Foreign Language] [Interpreted] And maybe to discuss the specific question that you talked about, in terms of the overhaul days for the coal-fired power plant, as of the end of last year, the Ministry of Trade Industry and Energy Level, there was a new standard that was introduced in terms of the overhaul days that would be part with such facility. So as a result of that, this year, we can see a lengthier overhaul period. Because there is no change in that stand, we do believe that next year, the overhaul days will be at a similar level to discuss. [Foreign Language] [Interpreted] So we maybe to talk about the equity method valuation gains that we have in the third quarter from our domestic subsidiaries on an accumulated basis, the amount that we recognized was KRW 53.2 billion. On the overseas side, it was actually 30% higher and therefore the amount there was KRW 81 billion. And if you look at the larges improvement, it’s actually been that from China, Philippines and also from the Middle East. There has been stronger performance from these entities and that has resulted in the stronger performance. Also in terms of this disposal gains related to our subsidiaries, from the GENCOs from KOSEP, also East West Power and also West Power, these three entities also had a sale in some of their investment entities and the ownerships there. So, as a result of that the sales proceeds that was reflected on equity method basis, was KRW 89.4 billion. [Foreign Language] [Interpreted] So since a lot of time has passed, I believe that we have time for one last question.
Operator: [Foreign Language] [Interpreted] The following question is by Mr. (inaudible) from Global Securities.
Unidentified Analyst: [Foreign Language] [Interpreted] So the question that I was actually like to ask you is that, if you look at this year, in July or so, there was the introduction of the consumption tax on coal and as a result of that, I do believe that there was a possibility of you for increasing tariffs however, because the exchange was working in your favor. There was a decision not to do so. However, if you look at the Korean won/US dollar exchange rate right now, the won is getting stronger. So, for next year, added to that, there will also be the emission trading scheme that will be introduced. And therefore I think that overall, in terms of fuel costs, that there will be higher cost incurred related to that situation. So, in the beginning of next year, whether electricity tariffs will be increased or not, it’s yet to be seen, but in terms of your proposal to the government, for a tariff hike, how much are you pursuing?
Bon-Woo Koo: [Foreign Language] [Interpreted] So to answer your question, as you have just mentioned in July of last year, it was that on coal there was a new consumption tax that was introduced and therefore in terms of our cost base, of course, that was a factor that had led to higher cost. However on the subset of that, if you look at the exchange rate and also oil prices, that has been trending down. So there were factors that offset some of that cost increase. For 2015, as you have mentioned in terms of ETT being introduced there will be some cost incurred related to that. However, it is not just that one item that we will be looking at, but also the oil price trends and the exchange rate trends all in all to look at the cost base and therefore make the adjustments accordingly. So, as of now, it is difficult to talk about what, if any tariff would be reflected.
Bon-Woo Koo: [Foreign Language] [Interpreted] All right. We will conclude this conference call. Once again thank you for joining us today. Thank you and good-bye.
Operator: [Foreign Language] [Interpreted] This concludes the fiscal year 2014 third quarter earnings results by KEPCO. Thanks for the participation.